Operator: Good morning. My name is Michelle [ph], and I will be your conference operator today. At this time, I would like to welcome everyone to Fiera Capital's Earnings Call to discuss financial results for the first quarter of 2024. [Operator Instructions] As a reminder, this conference call is being recorded. [Operator Instructions] Thank you. I will now turn over the conference to Ms. Marie-France Guay, Senior Vice President, Treasury and Investor Relations. Ms. Guay, you may begin your conference.
Marie-France Guay: Thank you. Good morning, everyone. Welcome to the Fiera Capital Conference Call to discuss our financial results for the first quarter of 2024. Note that today's call will be held in English. Before we begin, I invite you to download a copy of today's presentation, which can be found in the Investor Relations section of our website at ir.fieracapital.com. Also note that comments made on today's call, including replies to certain questions, may deal with forward-looking statement, which are subject to risks and uncertainties that may cause actual results to differ from expectations. I would ask you to take a moment to read the forward-looking statements on Page 2 of the presentation. On today's call, we will discuss our Q1 2024 results, starting with an update on our AUM flows, followed by highlights of our Public and Private Markets platforms as well as our Private Wealth business. We will then review our financial performance. Our speakers today are Mr. Jean-Guy Desjardins, Chairman of the Board and Global CEO; and Mr. Lucas Pontillo, Executive Director and Global CFO. Also available to answer questions following the prepared remarks will be Jean Michel, President and CIO, Public Markets; John Valentini, President and CEO, Private Markets; and Maxime Menard, President and CEO of Fiera Canada and Global Private Wealth. With that, I will now turn the call over to Jean-Guy.
Jean-Guy Desjardins: Thank you, Marie-France. Good morning, everyone, and thank you for joining us today. The year began with optimism of a soft landing where a recession would be avoided and inflation would continue to improve, thus setting the scene for the dawn of a cycle of central bank rate cuts. This backdrop led to impressive equity market returns with sustained gains in the first quarter, maintaining the momentum seen over a period of 12 months. Better-than-expected economic performance, particularly in the U.S., has impacted the trajectory of inflation metrics and pushed out expectations on the timing and magnitude of rate cuts. While this situation is not consistent in all economies, with Canada and Europe experiencing a clear downtrend in inflation, the U.S. economy continues to defy expectations, keeping inflation uncomfortably high. The resultant interest rate volatility and reduced rate cut expectations lifted government yields higher and dented bond market performance. Against this backdrop, we are pleased with the performance of our investment asset classes, which contributed to assets under management of $165.2 billion as of March 31, 2024 versus $161.7 billion at December 31, '23, representing a growth of $3.5 billion in the first quarter of the year. Assets under management in our Private Markets division grew $400 million, or 2%, to $18.9 billion, driven by new contributions of $600 million in the quarter. The sustained strength in equity markets in the first 3 months of the year drove a rise in assets under management in our Public Markets division, which saw an increase of $3.1 billion, or more than 2% from $143.2 billion to $146.3 billion in the quarter. Favorable market impact of $6.4 billion was partly offset by negative organic growth of $3.3 billion in the quarter. The Public Markets asset class, excluding PineStone, saw an increase of $1 billion in assets under management. While the division benefited from $1.5 billion in positive market performance, it also generated $700 million in new mandates across equity and fixed income strategies. This was partially offset by $1.2 billion of outflows entirely attributable to rebalancings and lower fee fixed income strategies. Of note, when looking at year-over-year assets under management, Public Markets, excluding PineStone, grew by $3.6 billion whereas assets under management, sub-advised by PineStone, fell by $3.3 billion. And despite a total of $7.2 billion in AUM, having transferred directly to PineStone in the last 12 months, the Public Markets overall AUM has increased over the period. Of the negative organic growth in the quarter, $2.8 billion or 85% of outflows were connected to assets under management sub advised by PineStone, of which $2.7 billion related to assets under management that transferred directly to PineStone and represented two U.S. based institutional clients. With respect to the balance of $3.1 billion of a large financial intermediary that we mentioned in the last earnings call, there were no transfers to PineStone in the current quarter. We continue to expect this amount to be redirected to PineStone by the end of the second quarter. Excluding this, management expects that assets under management from lost mandates transferring directly to PineStone to be in the range of $3 billion to $4 billion this year. The favorable market impact in the quarter on assets under management, sub advised by PineStone was $4.9 billion, which more than offset the pure leakage of $2.7 billion seen in the quarter. So I will now turn to our commercial and investment performance across our asset classes in the first quarter. So starting with our public market asset class. The Public Markets asset class, excluding assets under management sub advised by PineStone, saw positive net organic growth of over $650 million into our equity strategies with new mandates in Atlas Global equity, combined with new flows and positive net contributions in U.S. growth equity leading the rise. This was largely offset by approximately $1 billion in negative net contributions where the outflows for the quarter were essentially all-in fixed income strategies and overwhelmingly related to negative net contributions from rebalancings out of these strategies as clients adjusted their allocations in the quarter. Turning to investment performance in Public Markets for the quarter. Performance in equities was mixed in the first quarter. Large Cap U.S. Equity Core outperformed its benchmark as did Large Cap Canadian Equity strategies, posting positive relative returns and ranking in the first quartile for the period. Global Equity strategies underperformed their benchmarks in the short-term. This is largely due to sector allocation, underexposure to technology in particular, as well as transitory factors affecting certain holdings. Dislocations from the indices are normal on a long-term basis. The strategies continued to rank in the top quartile and outperformed their respective benchmarks. The Frontier Markets strategy maintained its excellent track record in the quarter with an additional 640 basis points of outperformance, adding up to close to 23% of value added on a 1-year basis. Our Emerging Markets Select strategy also maintained its strong performance, outperforming its benchmark by 950 basis points in the quarter. The strategy was -- the strategy, excuse me -- the strategy has outperformed its benchmark by 14% since its inception in 2021. Despite the loss in momentum seen in bond markets in the first quarter 2024 from reduced rate cut expectations, almost all of Fiera's flagship Canadian and foreign fixed income strategies generated positive relative returns. The active, strategic and integrated core strategies all generated positive results relative to their benchmarks largely due to the spread benefit from their corporate and municipal overweight positioning. Turning to our Private Markets platform. Our Private Markets platform offers stability and enhanced yield through all market scenarios and remains particularly attractive in the current uncertain economic environment. However, higher interest rates have made it a more challenging environment for fundraising in private markets with certain sectors being impacted more than others. Despite this, the benefits of Fiera's diversified platform can be seen in the first quarter of 2024, with positive net organic growth of more than $500 million after returning capital of $55 million to investors. New contributions represented several new Canadian clients in Private Debt as well as a new U.S. client to Agriculture. Of the $600 million in new contributions in the quarter, $200 million was deployed, and we maintain a pipeline with $1.4 billion available for deployment into future opportunities. Now with respect to investment performance for Private Markets. In real estate, the performance of the Canadian and the U.K. Real Estate strategies have begun to reflect the first stages of a more favorable macroeconomic landscape and recovery for the industry. The persistent headwinds experienced since early 2022 are beginning to subside and valuations are stabilizing. Throughout the higher interest rate cycle, underground, operating and rental fundamentals, with the exception of the challenged office sector, have been solid and are set together as team as their recovery begins. Portfolios more heavily allocated to the industrial and multi-residential sectors, such as strategies managed by Fiera Real Estate, are best positioned to outperform going forward as the recovery takes hold. Our Private Credit strategies continued to perform well as they benefited from strong yields. Our Real Estate Debt strategies in both Canada and Australia and New Zealand returned over 2% each in the quarter. Infrastructure Private Debt joined the financing solution for Greenalia, a leading Spanish developer of renewable power projects. Also, Fiera Private Debt achieved the first close for the 7th vintage of its flagship Canadian corporate credit strategy in the quarter. In Private Equity, the strategy continues to generate strong positive performance, supported by continued growth in the portfolio. This included the closing of a new investment in an independent retirement plan record keeper with the benefit of a highly recurring revenue model and low customer concentration in the U.S. Now lastly, the Global Agricultural Fund, which saw a near doubling of its assets under management in the last 2 years, closed another new partnership in the quarter. This represents the 5th partnership in the U.S. and will provide exposure to two new commodities, nursery trees and walnuts. In addition, Agri Investor named Fiera Comox as the 2023 winner of the Agribusiness Deal of the Year in Europe for the acquisition of the Iberian olive oil business, Innoliva Group. And finally, we confirm that the newly established sustainable timberland achieved its first close in the quarter. Now moving on to Private Wealth. Now Private Wealth saw a growth of $300 million to reach $14.3 billion in assets under management in the first quarter. This was largely driven by market performance. Under the new leadership of Maxime Menard, the Global Private Wealth division underwent a reorganization during the quarter. This included the establishment of regionalized teams aiming to boost community engagement, deepen client relationships and drive client retention and growth. Each regional head will focus on their region's unique needs, ensuring tailored services for our clients. A good example of the focused strategy is the success we are seeing in Canada in building relationships with First Nations. Under this focused leadership, the Private Wealth Group is well-positioned for growth with significant opportunities in the pipeline. Now with that, I will turn it over to Lucas for a review of our financial performance.
A - Lucas Pontillo: Thank you, Jean-Guy. Good morning, everyone. I will now review the financial results for the first quarter of 2024. Starting with total revenues, we are very happy with our performance so far in 2024, which has shown year-over-year [technical difficulty]. Across our investment platforms, we generated total revenues of $168 million in the current quarter, up 7% from $157 million in the same quarter last year. Base management fees of $152 million were up 3% for the same quarter last year, driven mainly by growth in average AUM in Private Markets. Within Public Markets, base management fees remained flat despite outflows. These results demonstrate the resilience of our platform in a challenging flow environment where we are nonetheless able to leverage our broad product mix. Performance fees for Q1 2024 were $3 million compared to $4 million for the same quarter last year. Other revenues were $6 million in Q1 2024, up from $2 million for the same period last year, primarily due to insurance proceeds received on a previously disclosed claim and higher administrative fee revenue as part of our fee alignment initiative in Canadian Private Wealth. Starting in the current quarter, we are also providing more granularity on other revenues and are allocating them across Public and Private Markets. Other revenue that is not allocated to an investment platform, including realized gains and losses on foreign exchange derivatives and interest income earned on cash balances, are separately disclosed as corporate revenues. Turning to Private Markets revenues for the quarter. Private Markets total revenues of $57 million were up 19% compared to the first quarter of last year, reflecting higher base management fees, along with higher earnings and joint ventures and associates. Base management fees of $45 million increased 11% from the same period last year, primarily due to institutional clients in Canada and EMEA investing in our agriculture and real estate strategies, along with higher average AUM from new subscriptions. Performance fees of $2 million in the quarter declined from $3 million in the same period last year, reflecting higher performance fees related to Fiera Comox Global Agriculture Open-Ended Fund in the prior year quarter. Earnings in joint ventures and associates of $6 million increased significantly from $1 million in Q1 2023 [ph]. This increase is attributable to a combination of the sale or near completion of several construction projects in Fiera Real Estate U.K. during the first quarter. Commitment and transaction fees of $1 million were down from $3 million in the same period last year due to a lower volume of deals from clients in Canada generating this type of revenue. As previously mentioned, starting in the current quarter, we are allocating certain other revenues to our investment platforms. Other revenues of $2 million within Private Markets primarily includes administration fees related to our feeder funds, which allows smaller investors both the opportunity and the liquidity to invest in our private market platforms as well as consultancy fees earned from joint venture partners. Private Markets continues to contribute to a growing proportion of Fiera Capital's total revenue, accounting for 34% of our revenues in the first quarter of 2024, up from 31% in the same quarter last year. Turning to a review of Public Markets revenues. Public Markets total revenues of $110 million were up from the same quarter last year, despite the challenges and flows related to PineStone strategies. The positive trends in total revenues in Public Markets compared to prior year quarter is in part due to the change in asset mix more weighted towards our equity strategies, resulting in an improved average fee rate. Base management fees of $106 million were relatively flat from the same quarter last year as decreases in fees, largely due to PineStone strategies were offset by an increase in fees in new mandates in the U.S. and EMEA. Performance fees in Public Markets of $1 million were flat from the same quarter last year. And again, as previously mentioned, we break out other revenue across the divisions. Other revenue within Public Markets includes, amongst other items, referral fees, fund recharges and insurance proceeds related to a prior claim. Other revenue was $4 million in the current quarter. With regards to SG&A, SG&A expenses excluding share-based compensation were $123 million for Q1 2024, up 4% from the same period last year, primarily due to higher variable compensation. The modest year-over-year growth in expense reflects our focus on prudent cost management and is particularly notable, given the new hires over the past year, including our four regional CEOs and their plan to implement our regional distribution models. This is reflected in fixed compensation, which has remained essentially flat year-over-year. Importantly, year-over-year expense growth remained well below revenue growth, driving improvements in our adjusted EBITDA. We also reported an increase in share-based compensation of $1.3 million. This is related to new grants and the impact of an increase in the share price affecting the mark-to-market value of the grants in the first quarter. Turning to adjusted EBITDA and adjusted EBITDA margin. We generated adjusted EBITDA of $45 million in the current quarter, an increase of $7 million or 17% compared to the same quarter last year. Adjusted EBITDA margin also improved, increasing to 27% in the current quarter from 24.7% in Q1 2023. We are pleased to note that on a last 12-month basis, we've returned to an adjusted EBITDA margin over 30% for the first time since Q3 2022. Looking at net earnings and adjusted net earnings. The company recognized net earnings attributable to shareholders of $8 million, or $0.07 per diluted share in the first quarter of 2024 compared with a loss of $3 million in the same quarter last year. Adjusted net earnings for Q1 2024 were $26 million, or $0.24 per diluted share, an increase of 11% from $24 million in the same quarter last year. On a trailing 12-month basis, adjusted EPS was $1.22, up from $1.09 in the same quarter last year. With respect to free cash flow. Last 12 months free cash flow was $72 million for the first quarter of 2024, up from $68 million for the same period last year. However, last 12 months free cash flow was down $17 million for the prior quarter, which was due to changes in noncash working capital. Looking at cash flow from operations before working capital, it was up close to $5 million in the quarter compared to Q1 2023. But we saw a greater change in noncash working capital this quarter, attributable to higher settlements of accounts payable, mainly related to bonuses and income tax paid during the first quarter as well as delays in collecting certain performance fees and accounts receivable from the prior quarter and the timing of prepaids. Most of these drags on working cap have already been reversed at the beginning of the second quarter. Turning to our financial leverage. Net debt of $656 million in Q1 increased $52 million from the prior quarter, reflecting higher cash used in operating activities, namely payment of variable compensation, bonuses and taxes and settlement of share-based compensation. The quarter-over-quarter increase in Q1 is consistent with prior years, largely reflects the timing of cash outflows that occur in the first quarter of every year. The additional working capital requirements for the quarter also had a temporary impact on the level of net debt. As such, our net debt ratio increased to 3.09x in Q1 from 2.94x in the prior quarter, although showed a marked improvement from the 3.3x in the same quarter last year. Funded debt, as divided by credit facility of $528 million in Q1 increased $45 million from the prior quarter, resulting in a higher funded debt ratio of 2.9%, up from 2.65% in Q4. The year-over-year funded debt increased largely due to our decision not to fully refinance one of our hybrid debentures in June of last year with the balance being financed from the revolving credit facility. We remain committed to delivering value to our shareholders as a fundamental pillar of our strategy. As such, I confirm that the Board has declared a quarterly dividend of $0.215 payable to holders of record on June 20, 2024. This maintains our trailing 12-month dividend of $0.86 per share. I will now turn the call back to Jean-Guy, for his closing remarks.
Jean-Guy Desjardins: Thank you, Lucas. As we began the year, efforts remained focused on our strategic priority of organic growth, including the swift rollout of the regionalized distribution model. The latest step included the announcement of a new office in the Hague in the Netherlands to be led by a newly created role of Head of Benelux and Nordics Distribution reporting to the CEO of EMEA. This will further strengthen Fiera's proven ability to service institutional and intermediary clients across this market at all tiers. It will also allow us to tap into latent demand among institutional investors to diversify their asset allocation and access Fiera's attractive mix of Private and Public Market strategies. Ahead of Japan for Fiera Capital Asia was also appointed and will be responsible for growing Fiera's presence underground and building relationships in the Japanese market. So I will now turn the call back to the operator for the question period. Thank you.
Operator: Thank you. [Operator Instructions] Your first question comes from Etienne Ricard with BMO. Your line is now open.
Etienne Ricard: Okay. Thank you, and good morning. In your presentation, you note that Fiera has raised approximately $5 billion in new mandates over the past year. So I'm curious to hear for what public market strategies do you see the strongest investor demand. And how do you see this pipeline evolving as we approach less restrictive monetary policies?
Jean-Guy Desjardins: I missed the beginning of the question.
Lucas Pontillo: I think I would add that on the public market side, if that was where your question was focused, I think where we're seeing the most demand for the strategies, we actually had a successful quarter with the Atlas team in Q1, fundraising there. And then that's been a steady trend for the team over the course of the last year. So we've certainly seen demand there. Our U.S. SMid strategy is enjoying tremendous success with the New York Life deal that we have in the U.S. So in addition to the demand that we're seeing in that channel in that pipeline, we are also seeing additional demand coming through the pure institutional channel for the U.S. And then the emerging markets team based out of London, which continues to post very strong performance fees, has also had very strong demand both in the EMEA region. And in terms of your forward-looking question about where we continue to see demand, that team is also looking at opportunities in the U.S. right now. I'd highlight those three is probably the three strongest candidates on an international basis, and then I think we have some domestic success stories that we can talk about as well.
Lucas Pontillo: Yes. I think our Canadian equity product have shown very tremendous, good performance over the last 4, 5 years and very well-positioned to gather assets over the next couple of years.
Etienne Ricard: Okay. I appreciate the details. And on the topic of Private Wealth undergoing a reorganization, can you please share more details on this initiative? And ultimately, how will this support AUM growth over time?
Jean-Guy Desjardins: Yes. Thank you for the questions. So first and foremost, I think one of the thing I realized is that this is a tremendous opportunity for us as I see this as being somewhat of a subscale business versus where we can be or will be. If we deploy the full investment platform for our existing clients and then look for opportunities to gather additional market share in that segment, I think we're really well-positioned. One of the things I focused on in making sure that we regionalize our leadership, having somebody in Calgary, Toronto and Montreal, for the simple reasons that each of those markets have a very different way how they approach and also have a very different competitive landscape. Our brand recognition across these different markets is slightly different, and we want to approach it in a customized way to make sure that we win market shares. We will focus on building aggressive business plans for each of the regions from an organic standpoint, targeting a 10% growth, and also look for potential acquisition and adding additional investment counselors in each of the regions where we think we are subscale. With that in mind, obviously each of the regional will have their own targets, P&Ls, and we will focus on making these initiatives very profitable for each of the regions.
Etienne Ricard: Great. And I just want to circle back. Your long-term target is 10% growth for Private Wealth?
Jean-Guy Desjardins: Yes. Okay, great. And last one for me. Lucas, how do you expect free cash flow to trend over upcoming quarters considering the working capital changes?
Lucas Pontillo: Yes. So I think -- thanks for asking the question because I do want to bring some light to this. It's very clear from our financial statements. When you look at the drag working capital had in the first quarter, when you compare our first quarter of 2024 to our first quarter of 2023, the operating cash flow before changes in working cap was actually up almost $4 million year-over-year. So we went from $30.1 million to $30.6 million. It's really the working capital drag for the quarter that took it down that had an impact on the free cash flow. And you can see that number is sitting at $60 million of decrease for the quarter when we were projecting it to be more around $30 million. I'm very comfortable reiterating our target which was for the first quarter, which was between $105 million to $110 million for the second quarter. As I say, some of that working capital has already reversed itself in the last month. We expect another 1/3 of it to be able to turn itself around before the end of this quarter. So feeling quite comfortable going into Q2 and reinstating that guidance from the first quarter and just reiterating that this is indeed a timing issue from working capital management, and that's it.
Etienne Ricard: Great. Thank you very much.
Operator: Your next question comes from Nik Priebe with CIBC Capital Markets. Your line is now open.
Nik Priebe: Yes, thanks for the question. Maybe just to follow on that last one. You alluded to there was a timing issue associated with the collection of performance fees that were crystallized in Q4. I was wondering if you could just elaborate on the nature of that and maybe help us understand what impact that had on the LTM free cash flow number.
Lucas Pontillo: So what happened with some of those performance fees, and they were predominantly in our Private Markets groups, where we actually had to have the fees attested and reviewed before the billing could commence. So it took a little longer to get the valuations finalized and all the work done. On a positive note, the valuations actually came in ahead of the accruals that we had in Q4. So we had a bit of uptick in the first quarter by a couple of million dollars there. But nonetheless, it just delayed the entire billing cycle in terms of getting that billing out to clients. And so as I say, a lot of that has actually already been recuperated in the second quarter. But by virtue of the attestation and valuation work that had to be done on those performance fees, we lost a bit of time in the collection cycle.
Nik Priebe: Got it. And what proportion of the -- there were $42 million of performance fees in the fourth quarter. What proportion of that would have been affected?
Lucas Pontillo: I would say about a third of that.
Nik Priebe: Okay. Okay got it.
Nik Priebe: Okay. Okay. Got it. And then last one for me. Just on the PineStone flows, I think there was a reference made to two U.S. based institutional clients that had redeemed and reallocated directly to PineStone. I'm wondering if you could just expand a bit on what type of clients they were and what prompted the decision to invest directly as opposed to the sub advisory structure.
Jean-Guy Desjardins: Yes. Well, one of those two clients had made that decision early 2023, just took a long time for them to execute. And the second one was a bit of a surprise. And you know what happens is -- it's a typical situation where the executive responsible for third-party managers in that pension structure changed in both instances. As a matter of fact, it's the same situation. The person with whom we have that relationship and was sort of comfortable with Fiera changed. The new person comes in and looks at that, and one of the first easy decision he make is, well, what else could go there? And they just pull the plug without really giving us an opportunity to reestablish the relationship that we had with the previous executive. And once you make that decision, when you go back and try to explain the situation and highlight all the benefits and advantages that Fiera has to offer relative to going direct, once they've triggered that decision, they don't change their mind. And I'll would say that at this stage, we've experienced for situations like that where it's all tied up to the fact that the executive responsible for managing the manager relationship, the hiring and firing, has changed.
Nik Priebe: Got it. Okay. No, that's good color. I will pass the line. Thank you.
Operator: Your next question comes from Gary Ho with Desjardins. Please go ahead.
Gary Ho: Thanks, good morning. First question just on the investment side. Continue to see solid performance in your Frontier and Emerging Market Funds. I believe this was one of the key contributors to the strong performance fees last year. You have several funds in this category. Can you remind me, is it the emerging and frontier opportunities that is eligible for performance fees? And can you remind me on the AUM and the performance fee thresholds so I can track better looking out?
Jean-Guy Desjardins: Yes, the funding question is mostly the Frontier Markets Fund. I think we have less than $1 billion. This is very low capacity type of product, very high fee, though. So it's a bit less than $1 billion that we have under asset under management there.
Gary Ho: And what's the threshold, if at all, for generating performance fees?
Lucas Pontillo: It's basically the benchmark return. So I think to formulize, it's close to be 20% of the added value.
Gary Ho: Okay. Got it. Thanks. And then my next question -- I think John's on the line. So the share of JV revenue was pretty strong. Can you maybe provide a bit more color? And from what you can tell, I know this could be lumpy. What do you expect for the rest of the year?
Jean-Guy Desjardins: We expect some more JV earnings for the rest of the year. It was a strong quarter. What came in was better-than-expected profitability in these projects. Essentially what these projects are, it's performance fees coming from specific mandates. So since it's not sitting in a fund accounting. We categorize these as share in profits and joint ventures, but there are specific projects, development projects. They're not sitting in a fund. That's why we account them as such. It is lumpy. We do expect continued earnings coming from the platforms. We've had better than expected uptick in the JV earnings. So there will be some more over the course of the year.
Gary Ho: Okay. That's helpful. And then just last question, perhaps for Lucas. Your diluted share count dropped meaningfully in Q1 versus Q4. Can you just remind me the movements there this quarter? And how should we think about the rest of the year as we model this out?
Lucas Pontillo: Yes, that diluted share count number is always predicated on the denominator, Gary. And depending on -- there's a test that you have to go through every quarter with regards to the hybrid instruments that are out there and what impact they have on those in terms of whether you include them or not include them, depending on whether you're on a positive net earnings or negative net earnings basis. So it gets to be a bit of gymnastics every quarter in terms of whether those instruments are included in the diluted calculation or not. So they were this quarter and hence why it's dilutive. But again, it can swing back and forth each quarter.
Gary Ho: Okay. All right. That’s all my questions. Thank you.
Operator: Your next question comes from Jaeme Gloyn with National Bank. Your line is now open.
Jaeme Gloyn: Yes, thanks. First question just getting to some other movements in the cash flows. Looking out to I believe next quarter, Clearwater, is that the last earnout to be paid. And then are you assuming that's paid out in cash or in shares when it is paid out?
Lucas Pontillo: So there's -- there could potentially be another one. There's actually two different earnout streams related to that platform. So this one will be the final one and what we consider more sort of the traditional EBITDA related earnout targets that were placed. There's one more that remains with regards to cross-selling opportunities in the region. So that one is still TBD. And at this point, we've not decided yet whether we will be settling that in cash or shares. I think we have two more months to make that decision, and we will see what the stock price does between now and then. And there's a host of other considerations that we have in mind.
Jaeme Gloyn: Okay. Okay. But the -- what was disclosed in the financials, I think it's like $9 million or $10 million, that won't change. That's the [multiple speakers]
Lucas Pontillo: Correct.
Jaeme Gloyn: It will be gone in Q2, right. Okay, great. And then just wanted to clarify, just going back to the PineStone outflows or outflows to PineStone from non-national bank leakage. I believe, Jean-Guy, you mentioned it would be $3 billion to $4 billion in 2024. Is that -- I think that's an increase from $2 billion to $3 billion. And then is the guidance still 0 to 2 billion annually thereafter?
Jean-Guy Desjardins: Yes, the difference in your numbers comes from this lagging client who indicated to us at the beginning of 2023 that they would be leaving and finally executed that like 1.5 years later. And the guidance following after 2024 is still correct.
Jaeme Gloyn: Okay, great. Thank you.
Lucas Pontillo: And maybe just on that point, Jaeme, because you asked the question last time in terms of the tables that we provide and the additional disclosure. I do want to point out in Table 9 of the MD&A, and I think it's a good reflection of what's happened over the last 12 months when you look at the dynamics of that book, having gone from $50 billion of assets under management to $47 billion. The $9.6 billion that we are showing in terms of lost mandates there, while only $7 billion of that actually transferred, the balance of that really were lost mandates, as I've described in the past, of clients deciding to leave altogether and no longer be invested in those global equity strategies. So again, it's a great example where over the last 12 months, we've picked up $8.3 billion of market, but only suffered $7.2 billion of outflows. So on a 12-month basis, the market return is actually ahead of what we've suffered from outflows. So I just want to highlight that because, again, as we go through lumpiness in quarterly periods, but you have a nice 12-month period to look back on now and see sort of the hypothesis we've always put out there in terms of the market impact versus the leakage impact and sort of the stability that that actually provides to our revenues.
Operator: [Operator Instructions] Your next question comes from Graham Ryding with TD. Your line is now …
Graham Ryding: Hi. Good morning. Just wanted to touch on the recent update around Desjardins Financial looking to sell its 6.8% stake. Just maybe Jean-Guy, just how motivated are you to try and keep control of the Board here? And how confident are you that you're going to be able to secure a partner in order to do so?
Jean-Guy Desjardins: Gabriel is looking at me in stress right now. My answer to that would be 200% motivated or 2,000% motivated. You can put all the 0s you want next to that, okay? So there's a total commitment by this management group to put -- basically to invest what's required in order to maintain our controlling position of the Board.
Graham Ryding: Okay, perfect. And when you say the management group, how many individuals would be involved in this potential, I guess, transition of shares?
Jean-Guy Desjardins: Minimum of 5, maximum of 8.
Graham Ryding: Okay. That's helpful. Lucas, just the [indiscernible] jump to you. The share-based comp, $3.8 million. Is this a reasonable run rate to sort of model going forward?
Lucas Pontillo: It is. It's more back to normal. We had some reversals last year. So they were -- the number was a bit depressed year-over-year. But this is a good run rate.
Graham Ryding: Okay. And then my last question. $4.5 million in restructuring and integration costs this quarter, what was that related to?
Lucas Pontillo: There's ongoing -- we talk about the fact and I've highlighted that our base compensation has effectively remained flat over the course of the last year. And I'll sort of use the analogy of a duck gracefully peddling across water, but you don't see what's going on under the water in terms of the activity, which is the fact that we've implemented a global distribution model that took on significant amount of investments, both in terms of regional leadership and local people on the ground to put that model in place, and at the same time, reorganized some of our global functions to be able to come up with the funding of that. So as I say, there was a significant amount of restructuring that had to happen over the course of that 12-month period. And yet we landed in a place where our base compensation top line has remained flat year-over-year. That's also been in an inflationary environment, which I'm sure you're quite cognizant of. So as I say, I think a huge amount of gymnastics on our part, and a portion of that is obviously coming through restructuring charges.
Graham Ryding: Okay. Understood. That’s it for me. Thank you.
Operator: Your next question comes from Geoff Kwan with RBC Capital Markets. Your line is now open.
Geoff Kwan: Hi. Good morning. Just had one question, but it's a two-part one on PineStone. Before PineStone was created, just ballpark or approximately, based on the number of clients, what percentage of those would have invested in additional Fiera various strategies? And then separately for the redemptions that you've had so far that have gone to PineStone, like kind of what percentage of those would have been clients that had only invested in PineStone funds?
Jean-Guy Desjardins: The answer to your second question would be probably 90% to 95% were single asset client. So one of our very successful defensive strategy is to cross-sell as aggressively as possible and acceptable in our business to cross-sell other strategies to PineStone clients that are a one strategy client. And we were late in initiating that process. We should have, in hindsight, been very aggressive in 2022, and we weren't. We initiated a program that I personally led in 2023 where we circled the largest clients, single strategy clients. And at this stage, our assessment has been -- it's been a successful strategy to have relationships with those clients that goes beyond the PineStone relationship.
Geoff Kwan: Okay. Yes, that kind of got it when I was asking the question. Thank you.
Operator: There are no further questions at this time. I will now turn the call over to Marie-France for closing remarks.
Marie-France Guay: Thank you. This concludes today's call. For more information, do not hesitate to take advantage of our website at ir.fieracapital.com. And thank you for joining us today.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines.